Operator: Good morning, ladies and gentlemen. My name is Sally and I will be your conference operator today. At this time, I would like to welcome everyone to the Boardwalk Real Estate Investment Trust Second Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the conference over to James Ha, Director of Finance. Please go ahead.
James Ha: Thank you, Sally. And welcome to the Boardwalk REIT 2016 second quarter results conference call. With me here today is Sam Kolias, Chief Executive Officer; Rob Geremia, President; William Wong, Chief Financial Officer; and Lisa Russell, Senior Vice President of Corporate Development. Note that this call is being broadly disseminated by way of webcast, if you haven’t done so already, please visit boardwalkreit.com where you will find a link to today’s presentation as well as PDF files of the Trust financial statements, management discussion and analysis, as well as supplemental package. Starting on slide two, I’d like to remind our listeners that certain statements in this call and presentation may be considered forward-looking statements. Although the Trust believes that the expectations set forth in such statements are based on reasonable assumptions, Boardwalk’s future operation and its actual performance may differ materially from those in forward-looking statements. Additional information that could cause actual results to differ materially from these statements are detailed in the earning press release and in other publicly filed documents including Boardwalk REIT’s Annual Report, Annual Information Forms and Quarterly Reports. Moving on to slide three, our topics of discussion for this morning will include a review of the current rental market fundamentals, our acquisition and development update, financial highlights, operational review, and lastly a finance and financial guidance review. At the conclusion of today’s presentation, we will be opening up the phone lines for questions. I’d like to now turn the call over to Sam Kolias.
Sam Kolias: Thank you, James, and thank you everyone for joining us this morning. Turning on slide four, there has been $0.06 per unit of one time charges for Q2 and $0.08 for the six-month period of 2016. As part of our Board’s duty, we review our strategic plan quarterly and yearly. Third-party consultants were hired to review our most recent strategic plan. The Fort McMurray fire had a direct impact on our Q2 of $0.03. And as previously announced, the retirement of a senior execute had $0.02 one time charge in Q2. Slide five, some financial highlights for the second quarter of 2016 include total rental revenues of $110.4 million and $223.8 million, a decrease of 8.6% and 7.1% from the same period last year. When excluding the Windsor portfolio, which closed in September of 2015, total rental revenues decreased 5.3% and 3.7% for the same period last year. Total NOI of $66.5 million and $133.5 million, down 13.5% and 10.2% from the same period last year; excluding Windsor, NOI decreased 10.8% and 8% from the same period a year ago. Funds from operation of $38.6 million and $77.7 million, a decrease of 21.1% and 16.5% from the same period last year; FFO per unit of $0.76 and $1.53 on a diluted basis, down 19.1% and 14.5% from the same period last year; and adjusted funds from operations per unit, which includes an estimated $525 per apartment unit of maintenance capital per year of $0.67 and $1.36, down 22.1% and 16% for the same period last year. Please note that for the previously slides, in these numbers are one-time charges for a strategic review, Fort McMurray wild fire and the previously announced retirement of a senior executive. Moving on to slide six, estimated costs associated with the Fort McMurray fire are $1.74 million. These costs exclude the negative economic effects over the entire province of Alberta that these fires had a result of a significant shut down of oil sands production, reducing GDP and associated economic activity, as mentioned by our Bank of Canada Governor Mr. Poloz. Fort McMurray is entering into the rebuilding and construction phase of this great disaster, which will contribute positively to the local and provincial economy going forward. Moving on to slide seven, oil prices have remained lower for longer period of time. Despite the challenging economic environment, Boardwalk continues to mitigate further declines in NOI and FFO as a result of our continued focus on optimizing NOI through our self-regulation strategy during better times, continued offering of incentives and offering more renovation to minimize or eliminate incentives which has led to higher occupancy levels in the rental markets overall. The Calgary and Edmonton rental market have continued to soften with increased incentives for suite upgrades. Vacancy levels remain below market vacancy levels. The Saskatchewan and Grand Prairie markets remain in the softer part of the rental cycles, resulting in both the decrease in occupancy and increase in incentives in these areas. Fort McMurray has seen an increase in occupancy at close to 90% versus just under 80% in the first quarter before the fire. We continue to focus on customer service and lease renewals offering incentives or upgrades to mitigate the decline in occupancy in these areas. The Ontario and Quebec markets remain in the balanced position. As slide eight reflects, net interprovincial migration into Alberta and Saskatchewan has decreased, which is a reflection of the current economic climate. Although, interprovincial migration has continued to decline, international migration is still positive and has resulted in net positive migration into these provinces. Slide nine shows the Alberta labor market with an overall total net gain in job in July relative to July of last year with some of the expected industries posting negative job creation in July of 2016. Please note the positive trends of jobs created in the service and retail trade sectors, which generally is positive for rental apartment demand. Slide 10 depicts the affordability of rental housing relative to condominium ownership. With rental accommodation providing the most affordable form of housing in Canada, we anticipate long-term increased demand for Boardwalk communities. Slide 11 reflects the cyclicality of rental incentives. Incentives have grown wider than the previous cycle, reflecting lower oil prices for a longer period of time, coupled with an oversupply of newly built multifamily communities. Incentives in the past have assisted in the rebalancing of the rental market and represents opportunity going forward. Slide 12 depicts over the long run rents rise and essentially crack CPI. The supply of rental apartments built is a greater factor in rental rates than oil prices. During the 90s, despite oil prices staying lower for a longer period of time, rental rates began to rise as a result of a rebalancing of the housing market towards more affordable rental housing. Please note in particular, how relatively flat average rents remained and how oil prices dropped further in 1997 and 1998 while rents began to rise again. Slide 13 also reflects how vacancy dropped even during cycles of lower oil prices for a longer period of time as per the 90s data. Despite periods of volatile oil prices, stability and long-term growth in the rental market has prevailed. Slide 14, Boardwalk’s unique self-regulated and NOI optimization strategic approach, which focuses in part on higher occupancy has allowed Boardwalk to sustain lower vacancy levels than broader market levels during the current oil price decline and economic contraction. This is a testament to our best-in-class operating team. Slide 15 shows there is historic long-term trend of FFO growth throughout past WTI price turbulence. Slide 16 illustrates the implied net asset value of the Boardwalk portfolio and includes the IFRS fair value revenue and expenses used to calculate implied cap rates on a per share basis and compare it to Trust valuations net of $3.23 of cash per unit and cap rates in relation to our unit price. The significant disconnect between the implied value of Boardwalk’s apartment assets and the evaluation of comparable apartments that have recently sold and are located in Western Canada continued. Slide 17 shows our public market valuation on a per door basis and continues to represent exceptional opportunity when considered against NAV, recent transactions in the marketplace, replacement costs, other consumer housing options like condominium ownership and current valuations on private market transactions. Slide 18 provides a summary of the Trust strategic initiatives to create enhanced value for its unitholders. Announced in February 2016, the Trust has since increased its regular distribution, at substantially near our revised acquisition target of 800 to 1,000 apartment units for 2016 continues to accelerate our development pipeline, has purchase and canceled over 660,000 Trust units and is always continues to focus on delivering exceptional service, quality and value. I’d like to now turn the call over to Lisa Russell to discuss our development and acquisition opportunities.
Lisa Russell: Thank you, Sam. As shown on slide 19, demand for well-located and established rental apartment remained strong. Low interest rates continue to draw investors and cap rates remained at low levels. Slide 20 summarizes our acquisition activity to-date in 2016. We have closed on 565 units and are unconditional on another 182 with total 747 units putting on close for a target of acquiring 800 to 1,000 units in 2016. We continue to see opportunities in Alberta and are in various stages of negotiation on other properties. Slides 21 and 22 highlight our recently acquired Edmonton portfolio containing three properties located in newer communities with easy access to the ring road. Each property consists of two four-storey woodframe, elevatored apartment buildings with one level of underground parkade. We have closed on Vita Estates, which was approximately 50% occupied at closing and is now currently at 62%. Axxess closed earlier this week and leasing has just commenced. The Edge is expected to close early next week. This acquisition will add 509 brand new rental units to our Edmonton portfolio. The aggregate purchase price is $93 million which has leads to 182,750 per door and average of $225 per square foot rental. As seen on slide 22, all three properties are generally similar with open floor plans, which include six appliances, granite countertops, and high gloss melamine cabinets. There are varieties of four plans with the majority being two bedrooms with two baths. There are total of 86 one-bedroom unit, 405 two-bedroom and 18 three-bedroom units. The overall average unit size is approximately 810 square feet. Slide 23 and 24 provide details of our recently announced acquisition of Auburn Landing. This building is well-located across from the South Health Campus in Southeast Calgary, which is major employer in this area. This property consists of 238 brand new units in two four-storey woodframe, elevatored buildings which are connected by a common single level underground parkade. We closed this property on June 22, 2016 for $51,170,000, which equates to $215,000 per door and $244,000 per square foot. Our estimated cap rate for year two is 5.43. At closing, the property was approximately 51% occupied and we are now at 62% occupancy. As seen on slide 24, all suites have open floor plans with condo quality finishes and include six appliances, air conditioning, quartz countertops and luxury vinyl tile throughout. Amenities of this include a 24-hour fitness center and our residents have full access to the Auburn Bay Residents Facility which includes uses of lake, park and registered programs offered by the Auburn Bay Residents Association. There are 111 one-bedroom units and 120 tow-bedroom units, all general sized at an average of 690 square feet for the one-bedroom and 1,035 square feet for the two-bedroom. The acquisition of these newly built assets at a cost similar to the cost of developing our own project, provides the unique opportunities to decrease the average age and increase the quality of our portfolio, while taking advantage of our operational and leasing expertise to maximize the return of these assets, both in the short and long-term. With respect to developments and as shown on slide 25, we have completed the first phase on excess land at Pines of Normanview in Regina, and have received occupancy at Pines Edge on January 29, 2016. It is a four-storey woodframe, elevatored building with one level of underground parking and consists of 79 units. The total construction cost was $13.4 million or $170,000 per door which equates to a $170 per square foot buildable and $199 per square foot rentable, which was the lower budgeted cost. This building is currently over 90% occupied after six months of leasing, which is well ahead of schedule. There are no rental incentives offered, and we are estimating a stabilized cap rate of 6.9% excluding land. Given the successful lease-up of phase 1, we have elected to commence constructions of phase 2. Slide 26 provides a summary of the construction of second phase of Pines Edge which commenced in May. When completed, it will be a four-storey woodframe, building with two elevators and a single-level underground parkade, similar to phase 1, but building is upgraded with 9 foot ceilings. Excavation, piling and foundation walls have been completed, and work on the slabs is ongoing. Estimated cost for this phase is $13.2 million or $167,000 per door. We estimate the stabilized cap rate to be between 6.25% to 6.75%. Occupancy is anticipated to be in the summer of 2017. Slide 27 provides a summary of the third phase of Pines Edge. Construction drawings are being finalized for this phase, which will again be a four-storey woodframe building with two elevators and a single-level underground parkade but with 71 units. Construction costs are expected to be similar to phase 2. And depending on market and economic conditions, construction of this phase could begin Q3 of this year; if this is the case, and with the 14 months construction time frame, occupancy could be in Q4 of 2017. Slide 28 highlights some of our other development opportunities. In Calgary at our Sarcee Trail Place site, we have completed DP drawings on 226-unit two-point tower project and are preparing to submit a development permit application this year. We received some preliminary construction costs and are reviewing potential phasing options to determine the economic viability of the development. If feasible, construction could begin summer or fall of 2017. In Edmonton, we own an existing community of about 1,175 units on approximately 38 acres of land known as West Edmonton Village. An initial concept plan has been developed to increase density of the site by replacing approximately 112 townhouse units on 12 acres of land with up to 950 units of four-storey woodframe product. Zoning is in place to allow for this use and construction on the first building could begin as early as mid-2017. We are exploring other concept plans as well and will determine which options would be most appropriate for this community. Also in Edmonton at our Viking Arms site, we have developed a concept plan for an additional 312 units in two concrete point towers. Depending on the desired timing from moving the project forward, a DC rezoning maybe required, or alternatively the city may have completed their proposed changes to the RA9 base zoning, which is currently in place to allow for this concept plan. We are currently analyzing the economic viability of this project. At Wascana Park Estates in Regina, a draft concept Master Plan has been developed, which includes high-rise, mid-rise, low-rise and possible commercial lands. More detailed planning is underway to determine the optimal mix of residential and commercial uses. Community engagement and rezoning will be required. Earliest construction start would be spring of 2018. Entire site would allow up to 2,000 residential units. I would now like to turn the call over to William Wong. William?
William Wong: Thank you, Lisa. Slide 29 shows a per unit reconciliation of funds from operations or FFO for the three and six months ended June 30, 2016 from the FFO per unit amount reported for the same periods in 2015. A reconciliation of FFO to Boardwalk’s condensed consolidated financial statements can be found in the appendix on today’s presentation. As the slide shows, for the current quarter, the Trust lost $0.13 on its stabilized property net operating income or NOI. This was partially tempered by $0.01 gain on financing costs and $0.03 gain on administration and others. Our Trust unit buyback program contributed $0.01 to FFO per unit growth for the current quarter, partially offsetting the $0.04 FFO per unit loss due to our Windsor portfolio sale. Stabilized property NOI was lower as a result of lower rents and higher incentives, primarily in our Western Canada rental markets. As mentioned earlier, please note, there was approximately $0.06 of non-recurring items in the second quarter, including $0.03 specifically related to the Fort McMurray wild fires as well as the $0.01 and $0.02 of onetime charges related to the Trust’s strategic review and the previously announced retirement of a senior executive. For the first half of 2016, the Trust lost $0.18 on its stabilized property NOI, which was partially offset by a $0.03 savings on financing costs. FFO loss as a result of sold properties was $0.05 partially offset by the Trust unit buyback program, which contributed $0.02. For first six months of 2016, non-recurring charges totaled $0.08. Net result is FFO per diluted unit of $0.76 and $1.53 for the three and six months ended June 30, 2016, respectively. The next slide, slide 30, shows Boardwalk’s rental statistics on a quarterly basis, leading up to the current quarter. As noted, overall market rents have declined to 1,133 from the 1,163 in March of 2016 and 1,193 achieved in June of last year, as the Trust continues with its strategy of maintaining high occupancy levels. Occupied rent at 1,123 in June 2016 was lower than the 1,160 in March of 2016 and 1,183 to the same time a year ago. The next two slides, slide 31 and 32, focuses on our stabilized portfolio performance. At June 30, 2016, a total of 32,947 units or 98.6% of our portfolio was classified as stabilized. For the current quarter, revenue on these properties declined by 5.6% compared to the same period last year with operating cost increasing by 4.1%. This resulted in an NOI decrease of 10.7%. Lower revenue was primarily centered in our Alberta and Saskatchewan markets where lower rents and higher incentives were incurred to maintain high occupancy levels. Operating cost increased due primarily to higher repair and maintenance, bad debt, promotional costs and insurance premium expense. The Fort McMurray portfolio, which represents a little more than 1% of our overall NOI continued to see a decline in revenues, due to the negative aftermath of the area’s wildfires, which resulted in the evacuation of the entire Fort McMurray region and the suspension of oil sands operations. Since fires, occupancy has risen in Fort McMurray by approximately 10%. Slide 32 shows the sequential revenue on our stabilized properties over the last four quarters. The current quarter shows a decline of 2.9% when compared to the first quarter of this year. Please note Saskatchewan declines are moderating. Slide 33 provides a breakdown of our operational capital improvements and capital asset additions for the first half of 2016. Excluding acquisitions and development costs, the Trust reinvested back into its portfolio a total of approximately $38.4 million comprised of $35.6 million for its investment property improvement and $2.8 million on property, plant and equipment compared to a total of $36.1 million for the same period in 2015. Included in the amount to reflect Boardwalk’s internal capital program is approximately $9.6 million of allocated onsite wages and salaries in certain parts and supply compared to $8.8 million for the prior year. Not included in the pie chart for the first six months of 2016, Boardwalk invested $1.1 million in development compared to $4.9 for the same period in 2015. The decrease in development cost was primarily the result of our 79-unit building in Regina, Saskatchewan called Pines Edge being substantially completed. Also not included in the chart is $80.8 million of newly constructed apartment units acquired by the Trust. As slide 34 shows, total overall admin costs, which include operating and corporate G&A for the first six months of 2016 was $30 million, an increase of $2.8 million or approximately 10% from the $27.2 million for the same period of last year. The increase was due primarily to the retirement of a senior executive and higher professional fees. The next two slides, slides 35 and 36, highlight Boardwalk’s investment property fair value calculations. As slide 35 shows, Boardwalk reported fair value at June 30, 2016 on its investment properties of $5.7 billion compared to $5.6 billion reported at the end of Q1. Sequentially, the Trust fair value has increased relative to the first quarter of 2016, mainly as a result of new acquisitions and a slight 25 basis-point cap rate compression for London, Ontario. As slide 36 shows, forecasted NOI for fair value determination was $301 million at June 30, 2016 compared to $300 million at the end of the first quarter of this year. The next slide, slide 37, highlights the range of capitalization rates used in determining the fair value of Boardwalk’s investment property. As you can see, overall, the weighted average cap rate used in the determination of fair value at June 30, 2016 was 5.37% compared to 5.38% at March 31, 2016 and December 31, 2015. I would now like to turn the presentation over to Rob Geremia. Rob?
Rob Geremia: Thanks William. As is shown on slide 38, Boardwalk’s liquidity continues to be strong. At June 30, 2016, the Trust has a base liquidity in excess of $300 million and we continue to be well-positioned to take advantage of the additional strategic investment opportunities. Slide 39 reports the Trust total debt maturity schedule. At June 30, 2016, the Trust’s overall weighted average in place interest rate was 2.92%. This rate continues to be above the current estimated 10-year NHA insured rate of 2.3% and 122 basis points above the current five-year rate of 1.7%. Our mortgage maturity curve is well balanced and we focus on extending mortgage terms while still staggering further maturities. Boardwalk’s remaining mortgage amortization under these insured loans is in excess of 30 years. Slide 40 shows the Trust interest coverage on a four-quarter rolling basis. For the 12 months ended June 30, 2016, the Trust coverage ratio was over 3.48 times, slightly lower than the 3.55 times reported in the same period in 2015, however, still very strong. Boardwalk’s secured mortgage portfolio is over 99% insured under the current government of Canada NHA insurance program. The use of insurance has two unique and distinct benefits and assists addressing the two distinct financing risks, being interest rate and renewal risk. With respect to the interest rate risk, the NHA insurance provides us the benefit of very advantageous interest rates. Under this program, we are able to obtain very competitive interest rates, which currently are approximately 100 to 115 basis points over a corresponding benchmark bond. Renewal risk is substantially reduced with this insurance and that once obtained, it is good for the entire amortization of the mortgage, which in most cases is 30 to 40 years. The insurance is transferrable to other approved lenders and long-term maturity. Slide 41 provides the reader with our estimate of current mortgage underwriting valuations. Boardwalk’s balance sheet continues to be conservatively levered at 49% after deducting our current cash position. Boardwalk continues to have access to this advantageous cost of financing. And Trust’s ability to access these funds is a distinct advantage. Boardwalk has new property acquisitions reported at purchase price and when combined with other unlevered assets, represent approximately additional $135 million of potential cost effective debt advantage at capital. Slide 42 updates our progress on our 2016 mortgage maturities. To-date, we have renewed or forward locked almost 70% of the year’s maturities. In addition, we have increased the leverage on these assets in excess of $153 million used to assist in the currently -- recently disclosed property acquisitions but still leaving sufficient amount of future investment opportunities. On these mortgage maturities, we have reduced the interest rate from 3.91% to 2.18% for an average term of eight years. Slide 43 reports details of the Trust normal course issuer bid for the first half of 2016. Trust purchased and cancelled a total of 666,000 Trust units at an average price of $49.02. Adjusted Trust is constantly reviewing its allocation of its available capital, given investment opportunities. Our NCIB continues to be one of the investment opportunities as that is constantly monitored. Slide 44 focuses on the Trust’s net operating income strategy. Our strategy focuses on the customer by providing the best value products and unprecedented level of service, managing operating efficiencies, adjusting to market trends, and where appropriate, offering strategic investment upgrades to our existing properties and suites. Slide 45 highlights the three key variables in our strategy, market rent; occupancy; and suite selective incentives. The constant shift of these allows us to focus on reporting the best possible net operating income. Slide 46 addresses our two basic operational approaches, which are dependent on market conditions. In strong markets, our focus is on optimizing market rents, while maintaining a high level of occupancy; while in weaker markets, our focus is on adjusting rents to meet the existing demands while maintaining our high standard level of service. In either market, where appropriate, the strategic in repositioning existing apartments units is undertaken to increase market rents or limited incentive offers. In all situations, the focus is on the customer and offering them the individual choices based on the particular needs. Slide 47 highlights our newly increased suite renovation program. Programs vary by locations, however in general range from a base level to a complete renovation which each level has been priced accordingly. Consistent with our customer focus, we are offering these choices to existing and new customers. Slide 48 documents the Trust’s customer turnover and related occupancy levels. Even in these challenging economic times in Western Canada, our turnover levels continue to be low and our resident members continue to elect to stay with us longer with our average member stay has increased over 3.8 years. Moving on to slide 49, Boardwalk’s financial forecast. As it is customary, on a quarterly basis, the Trust reviews the key assumptions used in deriving its public financial guidance. Based on the Trust review, it has determined that a reduction in both stabilized building NOI growth as well as reported FFO and AFFO per unit ranges is warranted. The reduction is the combined result of certain changes in assumptions and select non-reoccurring charges including the financing costs associated with the Fort McMurray wildfire and the Trust’s response to this. The impact of this reduction to the Trust’s 2016 stabilized NOI guidance range to minus 10% to minus 5%, and a revised FFO guidance range to $3.05 to $3.20 and AFFO guidance range of 2.71 to 2.86. In addition, we have lowered the top-end of our investment properties from 1,200 to 1,000, to reflect other investment opportunities that we are considering. The Trust has also allocated an additional $8 million to suite renovation program in 2016 while adjusting a development budget to reflect the timing of the construction costs. The Trust is now getting $11.5 million towards development which in addition to determining the viability of development of various excess lands the Trust currently owns will be directed towards the construction of Pines Edge 2 development at the Trust’s Pines of Normanview project in Regina, Saskatchewan. Management will continue to update the financial guidance on a quarterly basis. And we risk caution this information is forward-looking and the actual results may vary materially moving forward. Slide 50 has been included to provide you with more details on the area of change for 2016 reported financial guidance. Few key areas of change are focused around changes in higher key assumptions and certain unforeseen non-recurring expenditures. Large adjustment relates to change in our assumptions around our performance of our stabilized net operating income. When we last visited these at the end of first quarter, we continued to be confident that there would be -- we would be witnessing strength in the Alberta market starting in the third quarter of 2016. This is now materialized and can be somewhat attributed to the larger impact of the Fort McMurray fire and its impact on demand for the rest of Alberta. This reduction has been somewhat offset by savings in administrative and new acquisitions. However, the cost of carrying it to liquidity is anticipated to be $0.02 for the year. We have noted that in the past, it takes adverse conditions to unearth opportunities and this is the case. With the current weakness in the Alberta market, we have capitalized the selective investment opportunities; opportunities that would not have been available had the market not taken this pause. This extra liquidity, although diluted in the short-term, will assist in making long-term value creation opportunities. The Trust has and is anticipating some non reoccurring costs including the cost programs, largest of which is the Fort McMurray related costs. Due to the seriousness of the disaster and in particular the need for the evacuees for housing, Boardwalk instituted a program where Trust offers free rents for the remainder of May and the entire month of June for those evacuees that elected to stay longer, an additional 25% off market rent until December 2016. Over 600 evacuees became part of the Boardwalk program. None of these costs were covered under our insurance program. Included in this amount is approximately $1.13 million relating to the free rent offered to the Fort McMurray evacuees’ rental. That could have been made to other potential members. However, due to the series of these events, we focused our efforts on this program. This estimate has been adjusted for vacancies that the particular area’s experienced just prior to the natural disaster. Other non reoccurring expenditures include the costs associated with the retirement of senior executives and our strategic review. Although August is not over yet to-date, we are experiencing a return to more normal levels of rental activities. We are also witnessing a decrease in cost of labor in the Alberta markets. This overall cost will lower -- this will lower the overall cost of our suite renovation program, creating even more long term value. And again, to assist with this, we have increased the allocation of this program by additional $8 million. In addition, we have slightly reduced the development budget to 11.5 to account -- to better mask the costing for period. Slide 51 provides highlights of Boardwalk’s distributions. And as is customary, at each Board meeting, trustees review the Trust unitholders distribution. As a result of this review, the Board has declared to maintain its regular distribution at $0.1875 per Trust unit monthly or $2.25 on an annualized basis. This ends the formal part of our presentation. We’d like to open it up now for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Jonathan Kelcher with TD Securities. Your line is open.
Jonathan Kelcher: First question just I guess just on the guidance. Occupancy you show was in July from Q2 especially in Calgary, Edmonton. Would that be the one of the bigger factors, and you’ve taken guidance down?
Rob Geremia: That’s a part of it. I think although historically July has been a weaker month for us, as we are coming at just over rental months being August, September. However, this year July was higher than normal. We did a good job actually renting but the number of turnover was a lot higher as well. So, the bigger focus, as I mentioned in my comments where we originally did think we were to start to see the upward trend in Q3 and Q4, it’s just not materializing at all yet even in Q3. Again, August has been pretty good; we won’t know for it three or four weeks the actual effect of that. So, I think the answer is our feeling of return around the market is being pushed out far than we originally thought it would be.
Jonathan Kelcher: Okay. And so, this obviously is still little bit early for September or…
William Wong: Way too early for September. Again, we are seeing good demand in August so far but it’s only half way through yet.
Sam Kolias: Jonathan, it’s Sam. What we are seeing is healthy absorption in the new built rental communities. And the developers of these communities dropped their rents from about 2,300 to 2,500 to about 1,700 to 1,800. And they are now realizing significant absorption. Once -- and so the healing and the rebalancing is well underway. And that’s really the difference between this cycle and the last cycle is the amount of new rentals that were brought on to the market, it’s about 5% to 10% and it pretty well matches the vacancy that we got market by. And after the new developers drop their new rents down, well the market follows through. The good news is these drops and adjustments in prices have increased demand for rental housing. We’re seeing more condominium and home owners come back into rental, and we’re seeing a heightened demand and increase in people looking for more affordable housing choices in this economy, like every resource cycles that we the same thing. So, the rebalancing is well-underway. And that is as positive that we are seeing in the marketplace.
Jonathan Kelcher: Okay. And then, just secondly on your IFRS valuation, you kept it unchanged quarter-to-quarter. And obviously the stabilized NOI use and that is nowhere near what you guys would expect over the next 12 months. When you are looking at -- when you’re considering that, do you also look at what assets are actually traded guided in the market on a per door basis, is that a factor in there?
William Wong: Most important is to realize, all the cap rates out there today are or provided to us by third parties. We don’t look at the cap rates and bring them ourselves. We look at all those that give us -- provide us those every quarter. And what they do is look at the most recent transaction in the market. So, yes, they do. Again, our adjustment between -- not just in IFRS and where we are on our guidance, but simply is where we believe we have to offer more suite specific incentives that we wouldn’t have thought. And the calculation of IFRS revenues, you don’t factor these short-term one, two, three, maximum three-year kind of incentives in perpetuity in determining today’s valuations.
Sam Kolias: The sales in the marketplace are very, very few; there is no big amounts of apartment sales in the marketplace. And there is a lot of buyers from BC in the marketplace now, there is a lot of buyers from Ontario here looking and spending a lot of time on realtors in viewing very few assets that are for sale. The ones that have sold there was a high-rise, small high-rise in Regina, just under 100 suites. It was heavily bid; it’s sold for 170,000 a door. The Regina market has higher vacancy. And buyers typically look at stabilized revenues going forward for many, many years. Another good example is the brand new products we bought and some of them were 100% vacant. Well, of course, we didn’t get them for nothing and builders didn’t give it, sell it to us for nothing because they had zero net operating income. So, we did the same thing. We stabilized net operating incomes in years two and three and estimated our cap rate at just over 5%. And that’s the same thing we do as well. We have to look at a longer period of time. History is 2020 and incentives are cyclical. And so, they go up and down with economic market cycle.
Jonathan Kelcher: Have you guys given any considering to selling off a couple of assets in Alberta maybe to demonstrate value?
Sam Kolias: Well, there have been assets that have already demonstrated. Very few assets have significant prices higher than the equivalent asset per unit or per door. Right now, we’re trading at about 150 a door. Nobody can find including us apartment assets at 150 a door, except on the Toronto Stock Exchange under our ticker symbol. And so, everything else is -- there is very, very few to little assets that are available in the private market. So, the gap is very wider; there is lots of bidders. But one thing that we are seeing is the amount of liquidity, apartment owners, private owners from Ontario and BC have are coming into the Calgary and Edmonton markets and just driving up and down the streets here and our head office. There is lots of signs popping up from Ontario landlords and BC landlords. So, there is lots of interest. And the calls actually after the BC housing tax in Vancouver accelerated right after that was announced as well. So, we are seeing capital flow into and want to flow into our market, but there is just no real significant amount of assets for sale.
Rob Geremia: Just to add to that there, we don’t believe selling an asset to prove a value is the best way to go either. We think the market -- we have IFRS valuations that we think are reasonable and we put in our balance sheet. Historically, when you didn’t have IFRS and the argument could quite simple be, you’d better show the market that your balance sheet is undervalued. We think it’s very fairly valued on this right now, although conservatively valued; there is lot more outside than we think there is there. But, we believe the long-term value of these assets will continue. Our current plan and is guidance not to sell any of these assets.
Operator: Your next question comes from the line of Mark Rothschild with Canaccord Genuity. Your line is open.
Mark Rothschild: Just following up on, what you were talking about the IFRS value to Jonathan. And Rob, you just said that you believe there is more upside in IFRS value. I think that was referring to the cap rates versus NOI?
Rob Geremia: Sorry?
Mark Rothschild: When you said that there is more -- you think that this IFRS value is conservative and there is more upside. Were you referring to the cap rates or the NOI?
Rob Geremia: Both, I think in this low industry environment as we move forward, unless we are going to see a material change in that, I think that we are still seeing downward pressure in interest rates, we probably will see more contraction in cap rates, so that’s as positive. And as we stabilize the market and market rents go up again, like the slides that we have shown you references for over the long-term rents are going up, there will be more value to creating these properties.
Mark Rothschild: Okay. And on that, the standardized net operating income as was mentioned is higher than the current guidance or the current run rate I guess, how long do you expect it to take for NOI to recover, to rise to that level, assuming based on the assumptions you made for the following quarter [ph] maybe the incentives to wear off?
Rob Geremia: If you look at our NAV it’s spread between the NOIs; it materially is on revenue. And the reason it’s on revenue is because of the incentives that we offer that we include in our calculation which is not included in the IFRS calculation, the question then becomes, okay, if that’s the biggest spread between the two, when will these incentives burn off. It varies; it will vary by market, it will vary by building historically, depending on the market return. It could be 12 to 18 months to two years. It really does depend; it could be shorter than too. ‘08, ‘09, we saw return extremely quickly and one cycle of rent to back to where we were. So, we are not predicting when exactly it’s going to come back. However, we are seeing some positive signs. As Sam mentioned, as the market stabilizes, we’ll move forward.
Mark Rothschild: Okay.
Sam Kolias: Mark, over the years, we have learned the crystal ball we did have, we threw in the garbage, because when we’re too conservative, we are wrong, and the market beats us and the results are much better. When we’re too optimistic, we fail to predict the Fort McMurray fires and the devastating broad economic effects it has on our rentals across the province. And so how much is oil prices going to go up or be by the end of the year next year, how much is the multibillions of dollars new construction that’s going to take place to rebuild all the fire damaged and fire lost, housing in Fort McMurray going to impact on our numbers. We are not including any benefits from any rise of oil prices or economic benefits from the multibillions of dollars that’s going to be invested, and in our discussions with insurance companies, it’s going to start to scale and ramp up in the third quarter and fourth quarters of this year. We are not assuming any benefits from that. So, maybe we’re too conservative. Again, we threw our crystal ball out the door because it’s never gave us accurate indication over a few quarters. So, one thing that we do have is hindsight, and it’s 2020. And over a long period of time, our rents follow CPI, period. And that’s the biggest thing that we have. And as long term investors and multifamily assets, we continue to benefit from that greatly. Our chart is a clear reflection that that is the best way to play in investment apartment buildings is to buy and hold and in economic cycles buy even more and keep holding. And those investors have clearly benefited the greatest in that strategy.
Operator: Our next question comes from the line of Mike Markidis with Desjardins Capital Markets. Your line is open.
Michael Markidis: Just trying to make sure I understand this clearly. So, the $0.03 impact that you recognized from the Fort Mc wildfire and I think I saw a chart somewhere where it said that a bulk of this was due to the free rent that you would offer to evacuees and others in your portfolio, would that be correct?
Rob Geremia: That’s correct.
Michael Markidis: And just would that have been space that you would have otherwise had rented, had that not happened?
Rob Geremia: Yes. And reason, there was 1.13 that’s on the chart there, it has been adjusted for the vacancy that was build available just prior to the fire itself. So, our team went out basically, dropped everything they were doing and renting other suites; they had to prepare over 600 units for these evacuees with no revenue coming in for those particular units.
Michael Markidis: And with your revised guidance incorporating the $0.08 that you recorded so far in Q2, should we just take that to mean that the impact in 3Q from the Fort Mc will burn off in 3Q?
Rob Geremia: Yes, there is only about -- the chart again shows there is about $300,000 of Q3 and Q4 burn off, but it’s not enough -- that’s all a rounding issue, that’s from the discount we’re offering to customers that stayed, which is about 30% as -- but they’re paying 25% below market, which is well below the existing incentivized rentals.
Michael Markidis: And then, the free rent that was offered to the evacuees, is that reflected in the chart where you show your incentives on page 27 of your MD&A, I guess it looked like it jumped sharply in the quarter. Is that just….
Rob Geremia: That’s exactly way our system works. We book the revenue but then we take it out as net incentive, so it nets out to zero on revenue.
Michael Markidis: And just the stabilized stats that you have showing in the Fort Mc portfolio in the second quarter, does that include the impact of the income replacement insurance that you have?
Rob Geremia: Yes, it does. We’ve actually booked the revenue through our system because we were guaranteed by the insurance company.
Michael Markidis: And I’d just be curious as where would the economic or rent paying occupancy today versus what the actual physical would be?
Rob Geremia: In the portfolios today?
Michael Markidis: Yes.
Rob Geremia: Well, I think at the end of quarter, we see our occupancy level lower than 96% and really -- and traditionally in July, I just saw the turnover is actually little bit lower. So, that’s roughly where we are today. The July numbers is the most prudent [ph] that we do publish.
Michael Markidis: Actually my question was with respect to Fort Mc, specifically I was trying to bridge the gap between the income replacement insurance and…
Rob Geremia: As Sam mentioned, we started it’s down the 10% availability now in Fort Mc from about close to 25% to 35% prior to the fire. So we’re seeing increased demand in that market. Now, one thing we have not done obviously is moved rents aggressively in that market, because it’s not a time to do that.
Sam Kolias: The one thing that’s really important to keep in mind with Fort McMurray is the average rents of Fort McMurray used to be $2,000 a month; it was the highest rent in the country. And so, when the adjustment is 30%, we still have average higher rents in Fort McMurray than we do in Edmonton and Calgary and even Toronto. So, it’s really important to keep this in perspective. And we have always, always observed the highest volatility is in brand newly constructed product that has very optimistic assumptions as to new rents. This is why we’ve been very conservative in the assumption of rents for our newly-built communities, as we take the very long term approach to our assumptions and mark and assume our new-built communities at just over the existing average marks of our existing older communities. And so, it’s really important to keep things in perspective when viewers are looking at the average rents declines in Fort McMurray, because it’s still the highest rents in the country.
Michael Markidis: And last question from me before I turn it back, and I apologize if I missed this in your MD&A or your comments. The other select investment opportunities that you’re considering, I am just curious. You mentioned that’s why you took down your acquisition target slightly at the top end. Could you give us a little bit more color as to what those might be?
Sam Kolias: Tune in and just keep tuned in is what the answer is, just stay tuned.
Michael Markidis: Stay tuned?
Sam Kolias: Yes, stay tuned, stay tuned. Very exciting things we’re working on, and we just ask everybody to stay tuned.
Michael Markidis: And will it be -- the difference I guess the 200 new units that you might have bought, would that be roughly the ballpark of capital allocated to those new opportunities or is it something that would be…
Sam Kolias: No. It’s all opportunity-driven and what we believe will create the most value for all our stakeholders.
Operator: Your next question comes from the line of Heather Kirk with BMO Capital Markets. Your line is open.
Heather Kirk: It’s clearly you are seeing I guess cap rate compression and obviously the ten-year rate below 1% is probably helping. I’m just wondering if things roll on the way they have been on the operational side for a longer, how long do you think that cap rates going to hold in a falling NOI environment and are you seeing any kind of indications that future transactions might be shift downward?
Sam Kolias: We are not seeing any transactions reflecting that whatsoever. And again, it’s impossible for anybody to predict the future. And we have a long history and have recent example of Windsor, Ontario where we operated right across the river from Detroit Michigan and purchased that portfolio, and the economy was real tough economy for a long, long period of time. We created a lot of value in Windsor. And so, what our experience reflects is the tougher times get more and more people will move into rentals. Same thing happened in the great recession in United States. Tougher and tougher economy got in the United States, more and more people -- today the highest amount of renters in the history of United States is renting right now. They’ve seen an unprecedented amount of new renters versus home owners in the United States, as we look out to their economic traction that they went through during the great recession. So, there is clear evidence in history that clearly supports good or bad economies, people need somewhere to live. And we’ve seen that in 80s, we saw that in the 90s, we saw that in millennial period in Windsor, Ontario which was a very tough economy too, and we’re seeing that again now. So, one thing that we are seeing is the new rentals that have been built both by condominium, developers that built for rental and institutional apartment owners that built new apartments. And so that’s the only difference and that is why we’re using our opportunity and that difference to buy this new product, some of this new product. But again, it’s very difficult to buy product, and it’s very difficult to predict the exact time and date that this is going to turnaround. One thing we are doing is really focusing in on our value, on our service and delivering unprecedented service and value on all fronts. And we are ramping that up constantly. And so that’s going to help us turn us to the positive as soon as possible.
Rob Geremia: Just to add to that, I think what often we’re seeing again is very few people want to lease up risk, whereas a stabilized asset has lots of bidders and lots of buyers. So, we’re not giving -- I don’t think we’re going to see cap rates even with NOI, if it does continue to contract, or [ph] change dramatically, but the opportunity is, there is not a lot of bidders with [ph] lease up risk, and that’s what we’re really good at. So, that’s what Lisa and her team have been able to take these big projects that we could not have bought for probably 20% more two or three years ago.
Sam Kolias: There is a little canary in the coal mine in Regina called Pines Edge. And in six months, we’re leased over 90%. And this is the clear reflection of the biggest reason for our move ups has typically been to buy new condominium or a home. And many of those customers are Boardwalk customers moving into a brand new leased out Boardwalk communities. And so this is a really positive indication reflection of the demand of product and how quickly the market does rebalance. And it is rebalancing as we speak. It’s just a matter of time. The exact quarter, just going to have to depend on you, Heather to predict that, because that’s your job and so, we’re hoping that you can predict it for us.
Heather Kirk: I am not going to bite on that one.
Sam Kolias: Your projections go further than ours.
Heather Kirk: Over time, everyone is right, right?
Sam Kolias: That’s exactly right. That’s right.
Heather Kirk: So, in terms of the same property NOI numbers, just so I understand this Fort McMurray impact. Does overall minus 10.7 same property NOI include the negative impact from the Fort Mc impact, and what would the number be if it weren’t in that?
Rob Geremia: Yes, it does. I think the $0.03 you’re seeing from the Fort McMurray one time would be bumped up in to stabilized 2016.
Heather Kirk: So, if I were looking at this quarter, it would be that $0.03 that I want….
Rob Geremia: That is correct. So, if you just think -- if you go to second last slide that I do, the $0.03 is that’s not reoccurring from Fort McMurray if we had not that [ph] to be occurring that $0.03 would be up and stabilized NOI too. That’s mostly direct result of not being equal to rents in our stabilized portfolio.
Heather Kirk: And in terms of the incentives ex the Fort Mc number, what would those have been, on a dollar basis?
Rob Geremia: Actually that’s in our MD&A. If you look at for Q1 incentives offered and then it gradually increased in Q2, you probably see if Fort McMurray didn’t happen, it was much closer to levels you saw in Q1 than you saw in Q2.
Operator: Your next question comes from the line of Jimmy Shan with GMP Securities. Your line is open.
Jimmy Shan: So, just on the incentives, generally speaking for Calgary and Edmonton, how are they trending these days?
Rob Geremia: They’re continuing along as we say, and I think we’re going to start to see some of them roll over in the next 6 to 18 months with that. But again back to our -- we change dour guidance mainly because we’re not -- we didn’t -- we originally anticipated a pretty material reduction in incentives in Q2 and Q3 of 2016. So what we’re seeing now is basic continuation of existing incentives that you saw, not the same level you saw in Q2 but closer to same level you saw in Q1, now we predicted for Q3 and Q4 whereas we originally felt we’d be burning some of those off by then.
Sam Kolias: So far in August, we’re well over 50% of our move out notices, and it’s not the half or the middle of the month. And rents towards September and when school starts accelerate and continue to in September as students continue to move in, even in September and October in some of the other technical schools. So, students are back, like they come back every year. And so, we’re seeing that increased amount of demand that we see every year this time of year.
Jimmy Shan: If I think about -- in the last, call it three to four months, the evolution of the market, would it be the -- how does competition play into it? In other words, at the beginning of the year, I remember you guys were performing significantly and then a bunch of your competitors probably start to also provide a lot of incentives, and they took their occupancy up. And so now, are you finding that that’s the primary reason why the -- or one of the main reasons why that the outlook has deteriorated somewhat, is it because of the level of competition as well?
Sam Kolias: I think the biggest level of competition was the brand new apartments that were built there were discounted heavily. That we never saw in the first quarter and just started in the second quarter. As soon as that happened, the whole market shifted, and that’s really what happened. Good news is, our surveys and our secret shops show a substantial lease up in these branded properties. The other good news, a brand new apartment is only new once. As soon as the renter moves in, the apartment is going to be -- it’s going to have same odor every other apartments have with the existing owners that move out and that new small is not going to be the same as like a brand new car smell that eventually wears out. And so, this is why again we use much more conservative assumptions when we’re building and developing our own properties. A lot of cycles -- we have to build 109 units with the builders that wanted to keep his team employed. And Spruce Ridge is a good example, that’s really the only opportunity that we saw during last cycle. So, this cycle, we are very happy to see about 747 units that we could buy, they’re already built. And so were way ahead of the amount of new product that we’ve added to our portfolio as the result of the new increased amount of new product in the rental industry that was built over the last little while.
Operator: Our next question comes from the line of Matt Kornack with National Bank Financial. Your line is open.
Matt Kornack: I just wanted to quickly drill down a little bit further into the supply side of the equation. In terms of the new properties that you’ve purchased, do you have a sense as to the character of the tenants that are moving in; are they coming from former Boardwalk properties; are they coming from having sold their home or what’s driving that increase in occupancy?
Sam Kolias: We -- well, I personally heard from Boardwalk residents and associates, when we have this property under contract, they started to move into these. And so, absolutely, we have a great source of residents that want to move into new product that know us and trust us and are big part of who is moving into these communities. Certainly in Regina, probably the highest amount of existing Boardwalk residents that moved into that community, about 30% existing Boardwalk residents that moved into that community for higher rents in a brand new apartment. So, yes, we definitely get more calls. We’ve got a web presence that is very, very prominent and very busy. And so that all really helps. The lease up is going better in these new communities than what we thought. The last couple of months, they are running at about nine units a month. And that will show lease up if that rate continues, at under a year, all lease up will occur at under a year. We’re assuming two years to lease up. So, we’re well ahead of schedule and our traffic is very encouraging.
Matt Kornack: And are you finding at all harder to backfill the space that they are leaving from or the units that they’re leaving from, or are you also finding tenants to replace that? And is there a rent differential when you do replace them?
Rob Geremia: Yes, there is, obviously. We’re renting a new product with no incentive whatsoever. So, we’re getting an uptick when a customer moves from our existing portfolio into the new where the average rents are significantly higher. On the backfill side, and that’s part of the issue we’re looking at right now. And obviously, we’re doing very, very well. So, we’re going to be able to backfill, it looks like. I think what’s happened is in Q2 is -- and we call the Fort McMurray factor but things just stalled here quite dramatically. And we weren’t seeing rentals, we’re seeing people out faster and we were seeing skips, we were seeing late notices that really we haven’t seen in years and ever, during that short of period of time. But again, it seems like August is coming back to more normal characteristic, and we’re able to map. But I think as Sam mentioned, I think one of the reasons [ph] we have coming forward is students coming back here to school the next month. So, we’re starting to see a pickup in number of showings because students are coming back pre-shop for they go to school.
Sam Kolias: As we’re seeing condominium owners sell their condos and move back into rentals to. And the good news is the housing market is still quite and relatively healthy. So, there is still the ability to sell your home and condos you have and move into more affordable housing.
Matt Kornack: Right. So, I mean that would be the key difference between Canada and the U.S. at this point relative to the financial crisis is you haven’t seen another collapse and hopefully we don’t see one in the housing market. With regards to the amount of the product that’s under construction that hasn’t yet been delivered, because it sounds like there was a fair bit delivered in Q2. Is there a large pipeline of new product that is still to come to market and they provide pressure or are we pretty much through that?
Sam Kolias: That’s a really good question. The new starts and permits have dropped between 40%-50%, that is accelerating. So, the drop of new supplies is accelerating. So that is helping and we’ll go -- going forward going to help. We did see that in all -- I mean, we do see that in all cycles. The developers are very, very quick though, and they’re faster than ever in dropping new products and bringing in new supply into market. So, they’ve adjusted very quickly this cycle, so that will also assist in the rebalancing, good question, good catch.
Matt Kornack: Fair enough. And one final point from me; and you may have already mentioned, and if you did, I apologize. But for the Edmonton occupancy numbers, would those include the tenants that were in there for a short period of time at least in the June figures?
Sam Kolias: No, in July 70% moved out.
Matt Kornack: Okay…
Sam Kolias: At Fort Mc…
Rob Geremia: The free ended July -- June 30th…
Sam Kolias: Yes.
Rob Geremia: And a lot of that was around -- go back into Fort Mc as well too.
Sam Kolias: Yes.
Matt Kornack: And were there any sort of the evacuees that settled in the -- not the Edmonton but the Calgary portfolio, or…
Sam Kolias: Very few…
Rob Geremia: Yes, I think it was less than 100 but the big bulk obviously was Edmonton, and it’s over 515 in Edmonton.
Operator: Your next question comes from the line of Dean Wilkinson with CIBC World Markets. Your line is open.
Dean Wilkinson: Thanks. Hi, everyone. I’ll make this quick since we’ve flown through an hour. On the NCIB, active in the quarter a little less so than Q1, given where the units have gone to now. Do you see yourself coming back into the market there?
William Wong: Well, I think we’re constantly evaluating our allocation of capital and obviously NCIB is one of our choices, but to be truthful and upfront, we always this that we look for all our communities. So, if we can find equal find opportunity to expand our portfolio and like cap rate, we will balance or give the balanced approach to all the above. So, it is an option for us. We never tell if we’re in or out of the market because that’s obviously not what you want to do but the NCIB is alive.
Dean Wilkinson: Okay, fair enough.
William Wong: So, we’ve got some multiple issues.
Dean Wilkinson: Good. I think can you just remind us that what are the major assumption differences between sort of your IFRS valuation model and that CMHC underwriting valuation model you provide in the presentation?
Rob Geremia: Cap rates, the biggest number -- usually almost the same model in both cases but the CMHC is much, much more conservative, probably I’d argue, Jim, 100 basis points?
James Ha: 6.1%, probably the average cap rate on…
Sam Kolias: 6.1, yes about 100 basis points…
Rob Geremia: 100 basis points, yes, they’re much more conservative. And then we are happy with that that saves all of us in long run.
Dean Wilkinson: Sure, okay. And then, just finally, I know you’re fairly sort of recently into it, but the suite of product you have given up for the renovations sort of going from basically taking the unit as is right up to the full blow renovation. In terms of the turns in the new stuff, have you seen sort of a mix that people are gravitating more towards, I’ll just take it as it is or give me all the new appliances and just sort of temp it out, if you will?
Rob Geremia: We’re early in the program, but I’d probably say yes to both. We’re seeing -- many customers are price sensitive and focusing on price, we’re going to be flexible on that as well too. But we are seeing a number of -- particularly new customers who are -- and existing ones say, hey, I’ll -- I want a renewal; I’d rather have a new kitchen.
Sam Kolias: Dean, another really good question you guys. The big difference that we have over these newly built apartments is size. We have very big two-bedroom sizes. Our average two bedrooms are closed to 900 square feet. A lot of these new two bedrooms in these newly built apartments are under 800 square feet, the second bedrooms are so small, you can’t really even fit a regular or decent sized bed into them. So, they are really one [indiscernible]. And so, when we renovate a larger, older unit that’s close by established schools, established shopping, established LRT stations and transportation, and we’ve got a lot more land and that green space than these concrete high rises. So, we’re getting a lot of traction and interest because of the big advantages we have versus these newly built apartments, when we fully upgrade these units. The other thing that is benefiting us is this increased vacancy is allowing us for the first time in a long time to fully renovate the kitchen and bath. In the past cycles, we were still working on how to fully renovate a kitchen and bath overnight, still work in progress; we haven’t figured it out yet but we will work on that and will get to that as soon as we can as well. And so, now, we’re targeting about a five to seven renovation day for the full kitchen and bath. And we’re going to drive that faster and faster. And so, our goal and strategy is always to get better and better and better.
Dean Wilkinson: That’s great. If you get to the point where you can turn over a bathroom in one day, don’t tell my wife how you do it.
Sam Kolias: Yes, we will offer your family and you an apartment.
Dean Wilkinson: There you go.
Operator: Your next question comes from the line of Mario Saric with Scotiabank. Your line is open.
Mario Saric: Hi, good morning. I will also try to keep this quick. I just wanted to touch on a couple of things that have been touched on already, but on the supply side with respect to new product coming in. Sam, you talked about homeownership and the transition to rental perhaps. If we assume that we’re in this type of macro environment for the foreseeable future which means that there isn’t a ton of net migration coming into the province, there isn’t outmigration but certainly there’s not much coming in. How important is a reduced homeownership rate to the ability to absorb what’s in the ground today in terms of new supply in Alberta -- sorry, in Calgary and Edmonton, and is then -- or is that feasible or do you need net migration coming in, in order to drive the occupancy levels higher?
Sam Kolias: Again, we have no crystal ball and we’re already in the third year of a resource cycle. And in 80s for example, we saw and the Globe and Mail published an article on July 16th this year, showing how migration was negative for many, many years in the 80s. And in the 80s, we saw newly rebuilt apartments with the MURB program, the Multi-Unit Residential Building program. So, we had about 100% more apartment supplies added over the previous year before that resource cycle. And we saw a very quick spike in vacancy at over 10% for one year and vacancy dropped consecutively year-over-year since then. So, we saw that one spike went right back down and rents started to rise again. Same thing in the 90s too that took place. We saw multiyear -- but not as bad as outmigration and not as much new supply added in the 90s cycle. And again, we saw that spike and drop as our slides show as well. So, it happens. And depending on what your assumptions are, whether resource prices again stay low or drop again or go back up, either scenarios we have historically seen the pickup in demand, simply because in bad times people really rush to affordability. In good times, there’s been migration and there’s been people coming in. So, they also add to demand as well. So, we’re right in the trough relative to housing market. Bad times, people look for more affordable housing. In good times, people look for more affordable housing, because they’re moving in and they’re still looking for housing. So, we’ve clearly seen either scenario recently in Windsor. We’re buying in Windsor on Peter Street and we’re seeing boarded up houses. And it’s pretty gloomy things. And people gravitated to our newly renovated well-kept and serviced products, and they were moving out of these other housing options because of the competition we introduced into that market. So, either scenario, we’ve seen a reversion to the mean of consumer price index for rents and that’s what we do see and have seen over the last 30 some years.
Mario Saric: Right. And given, we are in reporting season; I have a hard time remembering what happened yesterday, never mind. In the early 80s or the early 90s, but I’d imagine back in those periods, we saw more challenging housing market conditions or greater home price corrections and arguably…
Sam Kolias: Yes. Mario, the one difference in the 80s was the 20% interest rates we saw in the 80s. So, that’s a very good point. Actually, that is a difference. And in the 90s, interest rates just about got to double-digits, and it impacted the entire country. That was when one of the analysts made a call on the Toronto housing market when interest rates were going up and that became very famous in that call and called the correction of the Toronto housing market when interest rates started to rise in the 90s.
Mario Saric: My second question and I think it may have been partly answered on the call earlier. Sorry, I jumped on the call bit late. But on slide 16, showing your July versus June occupancy changes, they were down both in Edmonton and Calgary. I think you mentioned higher turnover. What’s driving that higher turnover? And I think you also mentioned that August you’ve seen a bit of a pickup. But are you seeing the strength where you get back to historical August occupancy levels that you’re showing on that slide going back to 2012?
Sam Kolias: The drop between June and July was a clear reflection of the impact on the entire provincial economy, not just the local For McMurray economy, and even the GDP in Canada, the governor revised GDP for both, the province and the country. And so that clearly affected all of us. And so we are seeing more normalized amount of enquires. We’re seeing actually the same amount of showings as we had last year, believe or not. Our showings are the same as they were last year this time in the year. So that’s a positive and more a reflection of our increased level of service, to be honest. And that -- and so, we are slightly ahead on rentals this year.
Rob Geremia: Yes, I think July, to give you an example of how unsure the market was, really record number of late notices in July, which we -- late notices effectively and not giving notice on 30, 31st but giving it later in the month. There was a lot of uncertainty going on in this Province at that time and the people were saying as far as what I’m going to do. So, when we saw that kind of stuff, even though we were renting quite strong, unprecedented level of notices. So, if we didn’t have those, we would actually made up ground in July, but we just couldn’t do with that number of results.
Sam Kolias: Mario, there is another little canary actually in Banff, Alberta. And our revenue in Banff, Alberta this year is record high, above last year. And that’s a clear reflection of the increase in tourism as a result of the low Canadian dollar. So that’s positively impacting. And it’s showing to our job numbers that the jobs being created and tourism is increasing. I was just thinking to check Airbnb on that site the other day, but…[Multiple Speakers] yes, we should check that Airbnb and see if there at Airbnb. But that’s I mean that’s an industry that’s picking up. The other industry that’s picking up is the transportation and the distribution hub system. Calgary’s becoming a much bigger distribution center for warehousing and distribution. So that’s growing quite a bit as well. So that’s another positive addition to our economy.
Mario Saric: And then, maybe last question, just a clarification on the incentive program. You mentioned it’s early days. However, you are seeing a good amount of tenants take up the option of a brand new kitchen for example as opposed to just taking a lower rent or taking three months rent. So, it is early days, but would you say it’s 50-50 or -- because that seems to be a bit higher to me than I would have anticipated. I would have anticipated more people would just take the cash or lower rent as opposed to…
Rob Geremia: It is very, very early days. I can’t really give you percentage numbers, but all I can say is the interest is quite high. We’re ends off, we will know in the next little while. But as Sam mentioned, we do actually have some vacancy and we’re actually prepared to renovate. It’s hard for renovated suite, and if you don’t have a renovated suited to show, it’s difficult to rent. And for a number of years, we really had no vacancy units we wanted to, to do a renovation suite. And the cost of renovating that suite would have been a 30% than we’re anticipating right now as well too. So, I’ll give you more color in next quarter’s conference call and how successful we’re being in that program. And we are seeing a lot of interest, but it has to transcend in our mind to rentals. But we’re not -- the program is not moving ahead -- it isn’t just built, and they will come and build it on a controlled basis and rent it out as we build it.
Mario Saric: Right, the initial signs seem like they’re…
Rob Geremia: The initial signs are very strong. And again, all quite like the new product that we see in Regina, we’re leasing up faster than we thought, the question becomes how big is that market before it starts to become saturated.
Operator: Your next question comes from the line of Ken Avalos with Raymond James. Your line is open.
Ken Avalos: Good morning, guys. Quickly, what does the low end of your same property NOI guidance contemplate in terms of incentive and the macro?
Rob Geremia: The low end, it’d be higher than we offered in Q, about -- to get to the low end, you probably see we’re at the carry forward at higher than we did in Q1, obviously not as high as we did in Q2. But there would be some additional softening in the third and fourth quarter to get to the minus 10%, we’re running at minus 7.4% for six months, right? So, it’s six months, even weaker than the first six months to be able to compensate.
Operator: There are no further questions at this time. I will now turn the call back over to Mr. James Ha.
James Ha: Thanks Sally. If you missed any portion of today’s call, a copy of this webcast will be made available on our website boardwalkreit.com where you will also find our contact information, should you have any further questions. Thank you again for joining us this morning. This now concludes our call.
Operator: Thank you. Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.